Operator: Good afternoon, and welcome to the BlackBerry Fourth Quarter and Full Fiscal Year 2023 Results Conference Call. My name is Jason, and I will be your conference moderator for today's call. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes. I would now like to turn today's call over to Tim Foote, Vice President of BlackBerry Investor Relations. Please go ahead.
Tim Foote: Thank you, Jason. Good afternoon, and welcome to BlackBerry's Fourth Quarter and Full Fiscal Year 2023 Earnings Conference Call. With me on the call today are Executive Chair and Chief Executive Officer, John Chen; and Chief Financial Officer, Steve Rai. After I read our cautionary note regarding forward-looking statements, John will provide a business update and Steve will review the financial results. We will then open the call for a brief Q&A session. This call is available to the general public via call-in numbers and via webcast in the Investor Information section at BlackBerry.com. A replay will also be available on the BlackBerry.com website. Some of the statements we'll be making today constitute forward-looking statements and are made pursuant to the safe harbor provisions of applicable U.S. and Canadian securities laws, will indicate forward-looking statements by using words such as expect, will, should, model, intend, believe and similar expressions. Forward-looking statements are based on estimates and assumptions made by the company in light of its experience and its perception of historical trends, current conditions and expected future developments as well as other factors that the company believes are relevant. Many factors could cause the company's actual results or performance to differ materially from those expressed or implied by the forward-looking statements. These factors include the risk factors that are discussed in the company's annual filings and MD&A. You should not place undue reliance on the company's forward-looking statements. Any forward-looking statements are made only as of today, and the company has no intention and undertakes no obligation to update or revise any of them, except as required by law. As is customary during the call, John and Steve will reference non-GAAP numbers in our summary of our quarterly and full year results. For a reconciliation between our GAAP and non-GAAP numbers, please see the earnings press release published earlier today, which is available on the EDGAR, SEDAR and BlackBerry.com websites. And with that, I'll turn the call over to John.
John Chen: Thanks, Tim. Good afternoon, everybody, and thanks for joining the call today. Let me start my review today with the IoT business unit. This has been a very good year. Despite a challenging macro environment, BlackBerry IoT closed out the year with strong 16% year-over-year revenue growth to $206 million. This is in line with the outlook range we provided this time last year. QNX has a record year for adding new royalty backlog from design wins. In fact, backlog at the end of fiscal '23 has grown to a new record high of $640 million, 6-4-0. Going forward, we will report this annually in Q4 rather than in Q1 to enable a more in-depth discussion during our Analyst Day, which typically happens in May. The result is yet more tangible evidence that our strategy for QNX and IoT is really paying off. The business is executing and capitalizing on strong secular trends. The move towards high-performance, safety-critical software running on more powerful chipsets, is opening up significant opportunities for QNX. In addition to generating royalty backlog, the new design wins also drove near-record levels for preproduction revenue in Q4, that is, revenue from development licenses as well as professional services. Furthermore, the IoT business unit delivered a strong 81% gross margin, 8-1. In the quarter, we secured a total of 36 new design wins, with 6 in auto and 30 in GEM. QNX is winning in multiple auto domains. In particular, we continue to perform well in the fast-growing ADAS and the digital cockpit domain. In addition to auto, in adjacent verticals, we also see similar trends towards high-performance safety critical software at the edge. Medical and industrials are among a number of verticals making this transition, and QNX is capitalizing on it. Example this quarter, including a win with the Abbott Labs for the real-time medical analyzer and with Corindus Vascular for a robotic stroke treatment application. There are also wins with South Korea Doosan for nuclear power plant controllers and Honeywell for industrial conveyor control units. Some of you on the call today may have joined us either in person or virtually at CES that happened in January. This was a very successful event for the team with significant interest from and meetings with leading OEMs and Tier 1s. At CES, we also co-hosted the first software-defined vehicle innovation awards with MotorTrend. This event brought together and celebrated the best and brightest in software development across the auto industry. This was a key marketing event for us. One of our major announcements at CES was that the QNX RTOS is now available in the cloud through the AWS Marketplace. This both extends the reach of QNX to AWS developer community and eliminates the need for physical hardware. The initial response has been positive, with auto and GEM developers accessing QNX from locations around the world. Let me now move to IVY. This quarter, we made a significant step forward with IVY, announcing the first design win. Following successful PoC trials, Dongfeng, one of China's leading automakers, selected a digital cockpit solution from Tier 1 supplier, PATEO. That includes BlackBerry IVY to run in their VOYAH range of electric vehicles. At CES, the team demonstrated IVY running on 3 commercially available platforms, including Bosch, PATEO and the AWS Graviton. There was particularly strong interest in seeing IVY running live in the Jeep Grand Cherokee at the booth. Not only was IVY an important feature of the BlackBerry booth, it was also featured prominently at the AWS booth. Overall, CES generated significant interest for potential new proof-of-concept trials for IVY. Product development remains on track. And as we announced at CES, we're targeting this GA, the general availability that is, the GA release in May. This is an important step in scaling the IVY go-to-market and PoC efforts. The IVY ecosystem is also developing well. One of the IVY fund investment, Electra Vehicles, a smart battery management application, was successfully included as part of our first IVY design win. This quarter, we added a partner specializing in AI-powered driver monitoring technology aimed at fleet customers called IDrive. IDrive is a California-based company that plans to leverage IVY sensor data to improve driver safety and fleet efficiency. Let me now turn to outlook for this coming fiscal year. Headwinds for the auto production from the macro environment and supply chain challenges persist, although they appear to be easing a bit. Global light-vehicle production, which is a key driver for our royalty revenue, is expected to increase by around 4% in 2023 to around 85 million vehicles. Despite this improvement, production will remain well below the 95 million vehicles in 2018, that is prior to both the pandemic and the supply chain difficulties. Even with these industry-wide challenges, we expect strong growth for BlackBerry IoT this fiscal year and for revenue to be in the range of $240 million to $250 million. This translates from 17% to 21% year-on-year growth and is in line with the outlook given at our Analyst Day last May. We see this growth coming from a combination of both ongoing momentum in new design wins as well as an uptick in royalties. Given the anticipated timing of design wins throughout the year, we see the growth largely weighted to the second half. We expect revenue for Q1 to be in the range of $50 million to $53 million. Turning now to the cybersecurity business unit. Revenue for the quarter was $88 million. Billing increased sequentially for the third consecutive quarter to $107 million. Gross margin was 59%. ARR was $298 million. And the dollar-based net retention rate was 81%. This was a challenging quarter for closing large deals in the government space. We saw an elongation of sales cycle in this vertical with additional layers of approval and reviews. In particular, we saw a number of key deals slip into later quarters, and we don't consider those deals lost, rather delayed. Given the product mix of these deals that included mostly perpetual licenses, the impact on this quarter's in-quarter revenue was significant. However, strong billing growth from other nongovernment verticals, including financial services, we saw cyber billings increase overall for the third consecutive quarter. You may recall that we recently outlined a strong opportunity that we see for our Cylance product in the mid-market space. From our SMB wins this year as well as feedback from customers, we learned that having simple but effective turnkey products is the key to scaling this business. Therefore, we've productized according to the market needs and launched 2 new offerings under the headline: more security, less complexity. These new offerings are designed to be simpler to use, more cost effective and deliver leading-edge security. The first product is Cylance Endpoint that brings together and augments our suite of Cylance Endpoint products into one easy-to-use, cost-effective solution. The product leverages our battle-hardened AI engine, along with a major user experience overhaul. This includes the addition of new 1 alert console that combines the XDR data source and machine learning for simple, intuitive, prioritized alert. Cylance Endpoint is also available as a managed service through CylanceGUARD MDR. The second product is Cylance Edge, a product that connects users to their work effortlessly and securely right out of the box. Customers can securely access cloud-based SaaS application as well as gain visibility into how sensitive data are stored and shared. The third development that I'd like to highlight is an exciting point of differentiation of BlackBerry versus our competitors. We integrated our AtHoc critical event management into guide managed service to provide unified communications with cyber crisis response even if communication channels, like e-mails, are compromised. We will provide significantly more detail and demonstrate this new product at RSA in San Francisco next month, so please stay tuned. Turning now to UEM. We were delighted when Gartner announced that BlackBerry UEM was the only vendor voted in the top right quadrant by customers for deployment, capabilities and support. Receiving this recognition based on a review of some of the most security-conscious customers in the world demonstrated a level of performance that only BlackBerry can provide. In the market, we're seeing a tailwind from the return to corporate issue devices given concerns around security and lack of control. For a customer making this transition, particularly in the financial services but in other verticals as well, BlackBerry is seen as a go-to most secure solution in the market, and we see this driving interest. One key competitive advantage for our product is that Microsoft Intune is unable to block specific apps that presented security or privacy risk across all devices where BlackBerry UEM can. On the product development front, we announced a new feature for UEM this quarter. This includes being the first in the industry to integrate with the Adobe Experience Manager, enabling secure document signing on mobile that meets the vigorous government security standards. Once again, we secured sales with leading customers in our core regulated vertical, especially government and financial services this quarter. Among those we're able to name our Bank of America, Deutsche Bank, TD Ameritrade, the Bank of Italy, the Swiss National Bank and the Bank of India. In government, wins include U.S. Air Force, Scottish government, the U.S. Department of Treasury, the Netherlands government SSC-ICT, the shared service center, and the Australian Department of Health and Human Services. Turning now to the outlook for the Cyber BU. For the coming fiscal year and allowing factors, such as the macroeconomic backdrop, we expect revenue to be in the range of $425 million to $450 million. Correspondingly, we expect billings to be in the range of $430 million to $480 million, an increase of between 7% to 20% year-over-year. For Q1, we expect the revenue to increase sequentially and be in the range of $100 million to $110 million. As was the case in the past quarter, we expect billings to continue to exceed revenue this fiscal year, which is a strong leading indicator of a return to revenue growth. Furthermore, we expect ARR to return to sequential growth in the second half of this fiscal year. Moving now to licensing. Last week, we were pleased to announce the patent sale agreement with Key Patent Innovations for up to $900 million. BlackBerry will receive a combination of cash at closing and potential future royalties as the share of profits generated from the portfolio. KPI, whose team is based in Ireland, brings significant experience and expertise for maximizing the value of the patents and, with it, the overall deal value for BlackBerry. Importantly, the agreement with KPI has no financing condition and they have secured all their fundings from a leading U.S.-based investment firm with more than $30 billion in assets under management. Adding meaningfully to the overall deal value, BlackBerry will retain approximately 2,000 patents that would have been sold under the previous transaction with Catapult as well as BlackBerry keeping all existing revenue-generating contracts. Considering all of these factors, especially the assessed level of certainty and ability to execute, we consider this deal to have a higher overall value and therefore be the best outcome for our shareholders. The transaction is subject to the standard regulatory approval and we expect it to close in Q2. Following the completion of the sale, we plan to leverage third-parties to opportunistically monetize the remaining patents. However, this is likely to take some time to ramp up. So revenue, excluding proceeds from the patent sale is expected to be approximately $5 million per quarter this fiscal year. In the quarter, we recognized $10 million of revenue related to past patent deals. These revenues is not as a result of net new agreements and have no impact on the sale of our patent portfolio. Let me now turn the call over to Steve for more details on our financials.
Steve Rai: Thank you, John. As usual, my comments on our financial performance for the fourth quarter will be in non-GAAP terms unless otherwise noted. Total company revenue for the quarter was $151 million, IoT revenue was $53 million and cybersecurity revenue was $88 million. Software product revenue as a percentage of total revenue remained in the range of 85% to 90%, and professional services made up the balance. The percentage of software product revenue that was recurring increased to around 90% given the delay of some large mainly perpetual deals that John mentioned earlier. Licensing and other revenue was $10 million. Total company gross margin was 67%. Operating expenses for the fourth quarter were $118 million. These non-GAAP operating expenses exclude $26 million fair value gain on the convertible debentures, $15 million in amortization of acquired intangibles, $9 million in stock compensation expense and $7 million in restructuring expenses as a result of steps taken in the quarter to streamline costs, including facilities and IT infrastructure. Non-GAAP operating expenses also exclude a $476 million noncash accounting impairment of goodwill and long-lived assets for the Spark reporting unit. This represents a noncash charge of $0.82 to GAAP earnings per share. In accordance with accounting rules, we were required to perform a goodwill impairment review by determining a fair value for all our reporting units, the total of which is required to reconcile through our market capitalization. BlackBerry's market capitalization at the test date had declined year-on-year, similar to the broad-based market decline over the same period. Further details will be disclosed in our Form 10-K. The non-GAAP operating loss for the fourth quarter was $17 million and non-GAAP net loss was $13 million. The $0.02 non-GAAP basic loss per share for the quarter beat expectations. Adjusted EBITDA, excluding the non-GAAP adjustments previously mentioned, was negative $12 million. Total cash, cash equivalents and investments were $487 million as at February 28, 2023, and free cash usage in the quarter reduced to $9 million. In this coming fiscal year, we will be focused on driving towards both profitable growth and being cash flow positive. In our IoT business, we will continue to invest given the relatively high level of visibility we have for growth. On the cyber side, we have identified a clear plan to deliver expansion of both gross margin and operating margin. The outlook for the coming year is for a significantly lower EPS loss and cash flow usage. That concludes my comments, and I'll turn it back to John.
John Chen: Thank you, Steve. Before we open the line for Q&A, let me recap on the key message from the quarter. This was a strong quarter and a record year for QNX royalty backlog for BlackBerry IoT. We enter FY '24 with significant design momentum. And although we still face macroeconomics and supply chain headwinds, we expect revenue growth of approximately 20% this coming fiscal year. The Cyber business unit was impacted this quarter by elongated sales cycle in government, causing a number of large deals to slip to later quarters. However, the nongovernment business drove sequential billing growth for the third consecutive quarter. We expect to deliver revenue growth of approximately 5% and billings growth of approximately 15% this fiscal year and to return to sequential ARR growth for the Cybersecurity business unit in the second half. And finally, we enter into a fully funded agreement to sell the noncore patent portfolio for up to $900 million while also retaining more patents and retaining existing revenue contracts. That concludes my remarks. Jason, can you please open the line for Q&A?
Operator: [Operator Instructions] Our first question comes from Luke Junk from Baird.
Luke Junk: To start, hoping you could extend please on where you were able to take cost out of the P&L already this quarter, so OpEx down sequentially. And looking forward, what you envision with respect to plan to deliver gross margin and operating margin expansion, especially in cybersecurity, maybe if you could just speak to some specific actions and areas of the cost stack that you're focused on.
John Chen: Okay. We have been focusing on improving gross margin and operating margin for the Cyber business for quite some time. And in this past quarter, we just see some of the results. Shifting costs to a lower cost base area, hiring people in those areas, more so than hiring people in a more expensive area, is certainly one way of doing that, particularly mostly in the replacement of attrition. And a little bit more disciplined on pricing and discounting has also been put in place. So by and large, we were able to do that. And our plan calls to continue to do that for the balance of the year, the new fiscal year. And then we also reduced G&A costs where we can. And we've done a lot. Facility costs is another aspect of it. So many different areas, it's a very concerted effort. Let's see. From an IoT perspective, this is the unit that has been exempt from focusing on that, they are just focusing on growth. And I think they're still going to hire 200-some people this year, or if they could right now, assuming we have the candidates. So those are kind of how we allocate capital and spending.
Luke Junk: Very helpful. And then for my follow-up, hoping to take a step back and just talk about the bigger picture in IoT and in auto, specifically. Just love to get your perspective on the focus of that market going forward from here. One of the clearest takeaways at CES this year walking the floor was the prevalence of an increase in centralized architectures, which also has very clear implications for auto software and ultimately software-defined vehicles. Can you just speak to where you're finding your auto customers right now in terms of their readiness for a software-forward future in auto? And do you think there is an increasing sense of urgency, especially OEMs trying to figure out software?
John Chen: Yes. Yes, very much so. I think you said everything. It's consistent with what we have been learning from customers and analysts also. So you talked to each of the OEMs. They all have a strong investment in SDG, I mean the software-defined vehicle, and approach. And they need foundational software and they need it from a safety perspective. A number of years back, there were a couple of large OEMs who attempted to do the foundational software themselves, and they have all decided to join force with us and work with us directly. And these are very big names. And we, of course, welcome the partnership. So if you look at our win rate, and I don't want to jinx it, but it's extremely, extremely high. In fact, I think our team wins 90% of the deals out there or something like that. And then in addition to that, our products related to hypervisors, ADAS related to cockpit, are all very popular wins out there and usage out there. And then I also wanted to say beyond auto, we're also seeing a lot of strong interest. As I said in my script, all the chip technology company is pushing multi-core and multi-processing, parallel processing and all that good stuff. And they need safety and they need a hypervisor. And so we seem to have a very good strong track record in the eyes of the customer. So I'm pretty comfortable that we're going to see continued growth at least for the immediate future.
Operator: Our next question comes from Daniel Chan from TD Securities.
Daniel Chan: when you're monetizing the remaining patents, are you looking to license them out? Or are you looking to sell them? If you're looking to license them, should we expect it to be faster, more broadly licensed, considering they're standards of central patents?
John Chen: Yes. It's licensing. So the remaining patent is now in 2 groups once the transaction is done. One group is the embedded and the cybersecurity patents. And the other group is the mobile patent, mobile phones and related networking patents. So the latter, we will monetize through third-party and probably, in some cases, we will trim the patent down a little bit by selling some. And the former, we haven't really decided the overall plan yet. And of course, we will always be interested in licensing to people, but it's probably not going to be an active process.
Daniel Chan: Okay. And then, John, around this time 5 years ago, the Board extended your arrangement to lead the company until November this year. Just wondering whether you can share with us what your plans are as we get closer to November.
John Chen: No, no. We started the conversation between me and the Board. So stay tuned on that. We don't have anything to report at this point.
Operator: Our next question comes from Mike Walkley from Canaccord.
T. Michael Walkley: John, just want to dig a little bit more into the Cybersecurity business. It's great to hear, on the SMB side, you have simplified approach and managed responses. We hear that more and more. Can you talk about competition within that business? And with this new approach, how quickly you get that implemented, and is that giving you confidence in ARR returning to growth in second half of the year?
John Chen: Good question. So there's a lot of competition. I think you folks hear different cybersecurity companies all kind of gun in for the SMB. The good thing about the SMB market is a, big; and b, they lack the security, the ability to have their own security team, normally. So they are very receptive to our MDR solution, our Guard solution. And then we are now streamlining this turnkey product set just to make sure that they don't need to have a certain level of capability or knowledge before they could put it in use. Either they use it themselves or they use us to help them to use it. But this is very popular. You already heard it, I'm sure, from most of all the key players. The good news is the market is big. It's growing. I think there's a lot of SMBs, for the first time, take this investment quite seriously because they have to given what the trend of the cybersecurity world looks like and the ransom world looks like. And there's a lot of white space for replacement of prior technology, the first generation. So with that combination, the market is big, but the competition is fierce, too. I would agree with that.
T. Michael Walkley: That's helpful. And yes, I think a simplified approach is what the SMBs are really looking for. Just as my follow-up question, just digging a little more into cybersecurity, is ARR stable to growing outside the UEM business? And maybe you can update us on UEM, kind of where that is on churning off some customers that you wanted to kind of end of life as you focus more on the large government type deals.
John Chen: Yes. UEM has in the last couple of quarters. ARR and the business is stable, which is a good sign, gives us some level of comfort.
Operator: Our next question comes from Paul Treiber from RBC Capital Markets.
Paul Treiber: Just since we're on the topic of cybersecurity, could you speak to the traction that you've seen of cross-selling cyber into UEM base, which is predominantly large enterprise?
John Chen: Yes. Let's see. We see some but not dominant because our UES, our Cylance base, is typically SMB. And our UEM base is typically very large names. But on the other hand, there has been some upsell. I wouldn't -- so I would say that it's promising but not very high volume at this point. However, this is something that we will go do. And mostly, we're going to have to go after the McAfee and the Symantec and the Trend Micro base.
Paul Treiber: And what fundamentally has been the challenge? Is it product? Is it pricing? Is it sales? Can you help us better understand that?
John Chen: Yes, 3 years ago, it was the product. Our EDR was not as up to snuff as everybody else. We have better EPP, but the world wants both. So we slipped from that. Now it's really more on what leverage we could create. And our product is now back in competitive mode. We have some differentiated things based on our AI model and the Cylance OEM model and the lightweight and the offline mode and all that. So we have some really strong reasons for customers to take a look at and use. But we need better traction in the indirect sales side. Our direct salespeople, after the last year, 1.5 years plus, building and so forth, we feel comfortable that the productivity is there. Then now we need to get some leverage. We need more deals. And the only way that we could do that is to engage with third-party better. And that's the #1 focus in this year's plan.
Paul Treiber: That's helpful. And then just one more, if I may. Just in regard to IoT, you mentioned very strong win rates. Could you speak to the pricing and how ARPUs are tracking? And obviously, OEMs are hard to sell into. Do you still see opportunities to expand ARPU? Like, what you were targeting a couple of years ago, I think there was a number of like $25 or so per vehicle ARPU. Is that still an achievable long-term target?
John Chen: Absolutely. In fact, I would say to you, and I hope I don't have to eat these words myself, I would say to you today, and I'll explain why I do, today, I have more confidence in per car ARPU than when I first came over that as a goal a number of years back. And the reason is now we are basically being accepted as a foundational software for major auto companies. Like, names that I could reveal like Volvo and BMWs and Volkswagen, and these are all public information, so they are all centralized on BlackBerry QNX. So when you have a foundational software, and earlier, the conversation regarding software-defined vehicle, allow us to upsell modules. And so that brings the different type of economics because, in the past, we're talking about 1 copy and charge it one time. Now we're talking about building on, on that platform and upselling. So I think our people are very excited about it, and rightfully so. I see the same trend. Customers are more receptive in buying more adaptive modules and then plug onto the platform which, of course, we have safety certification across everything we sell.
Operator: Our next question comes from Todd Coupland from CIBC.
Thomas Ingham: I want to follow up on that last ARPU question. Maybe I'll ask it a little differently. When you look at the IoT backlog that you quote, what would be the software per vehicle embedded in that, in the wins that you have already? Is it high single digits? Is it double digits in that $25 range? Can you give us any color on what actually is it?
John Chen: Yes. So there are a handful of wins that could push us in that area of $20, $25. But most of them, I would say, in high single digit and low double digit.
Thomas Ingham: Okay. And I mean, obviously, if you're $10 or higher, that's quite a bit higher than just the infotainment OS where you've come from. When would you see production volume of those double-digit type ARPU starting to kick in?
John Chen: Well, part of the reason that we feel, I don't know if I should say comfortable, but we feel okay with our 17% to 20% growth this year. It's because we expect to see some of this, the so-called start of production, the SOP. And so I believe FY '25, '26, we have a higher growth number. If you remember, we set a 5-year compounded growth rate of 20%. So we came in the first year at 16%. This year, it's going to be 17% to 20%. And so the math says that we will have to be over 20% in the next couple of years.
Thomas Ingham: So what you're saying with that, those handful of like higher ARPU deals later in the year, that's what gets you to that. I don't know exactly where the number lands in Q2, but let's call it $65 million to $75 million a quarter implied for Q3 and Q4, if you take your guide at face value.
John Chen: Yes. That's correct. We map in the production. The only wrinkle is something that will not be within our control. The wrinkle will be a macroeconomic issue of high interest rate that slows down production, a deterioration of supply chain, chip availability that will slow down production. That will put a wrinkle on us in the second half. But given everything we know today and all the conversation with the OEMs, the team feels very comfortable, quite comfortable. I'm usually very optimistic, so you have to factor that in. They feel comfortable delivering my outlook that I provided earlier.
Thomas Ingham: And baked into the outlook is that 85 million production volume for the market, and then you'll get that higher ARPU even if you don't get back to those 2018 levels. Is that the right way to talk about that?
John Chen: Yes. That's the math that we based it on. Yes, correct.
Thomas Ingham: Okay. And my second question has to do with the outstanding debentures. What's your thinking on a target balance sheet. With the extra cash from the patent sale, would you look to repay that debt? Or would you look to roll it over? Just talk about plan.
John Chen: Our plan is to repay the debt.
Thomas Ingham: Repay all of it.
John Chen: Yes. Now if somebody wants to roll a small portion over, we will be open to it, but that's not our current planning.
Operator: I would like to turn the call back over to John Chen, Executive Chair and CEO of BlackBerry for closing remarks.
John Chen: Thank you. Thank you, Jason. Before we end the call today, I'd like to remind you about a few events coming up. Between the April 24 and 27, BlackBerry will be at RSA conference, and we'll be demonstrating the new product offerings that I mentioned earlier. So if you happen to be there, please do drop by. On May 17, we'll be hosting a virtual Analyst Day in which management will provide a comprehensive overview of our long-term strategy, product innovation, market opportunities, go-to-market approach and, of course, the financial outlook. Then on May 23, we'll be hosting a retail investor focused live Q&A, in which John Giamatteo, the President of BlackBerry Cybersecurity; and Mattias Eriksson, President of BlackBerry IoT, will answer your questions. So please feel free to send them to Tim in advance at investorrelations@blackberry.com or you can submit them through the call on that day. We'll provide more detail on all these events in the coming weeks. So please stay tuned. As always, I thank every one of you for joining today's call, and I hope to speak to you soon.
Operator: This concludes today's call. Thank you for your participation. You may now disconnect.